Operator: Greetings, and welcome to the TDS and U.S. Cellular First Quarter 2018 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Jane McCahon, Senior Vice President, Corporate Relations for TDS. Jane, please go ahead. 
Jane W. McCahon: Thank you, Kevin. Good morning, everyone, and thank you for joining us today. 
 I want to make you all aware of the presentation we have prepared to accompany our comments this morning, which you can find on the Investor Relations sections of the TDS and U.S. Cellular websites. With me today and offering prepared comments are from U.S. Cellular, Ken Meyers, President and Chief Executive Officer; Steve Campbell, Executive Vice President and Chief Financial Officer; from TDS Telecom, Vicki Villacrez, Senior Vice President of Finance and Chief Financial Officer. 
 This call is being simultaneously webcast on the TDS and U.S. Cellular Investor Relations website. Please see those websites for slides referred to on this call, including non-GAAP reconciliations. We provide guidance for both adjusted operating income before depreciation and amortization, or OIBDA; and adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, to highlight the contributions of U.S. Cellular's wireless partnerships. 
 As shown on Slide 2, the information set forth in the presentation and discussed during this call contains statements about expected future events and financial results that are forward-looking and subject to risks and uncertainties. Please review the safe harbor paragraphs in our press releases and the extended version included in our SEC filings. 
 Shortly after we released our earnings and before the call, TDS and U.S. Cellular filed SEC Forms 8-K, including today's press release. We intend to file our SEC Forms 10-Q on May 4. 
 Taking a quick look at the upcoming IR schedule, Slide 3. We'll be attending the JPMorgan conference on May 16, presenting at Citi Small & Mid-Cap Conference on June 7 and Oppenheimer's conference on August 7. Please let us know if you'd like any information about these events. Also, keep in mind that TDS has an open-door policy. So if you're in the Chicago area and would like to meet with members of management, the Investor Relations team will try to accommodate you, calendars permitting. 
 And now I'd like to turn the call over to Ken Meyers. 
Kenneth Meyers: Thank you, Jane. Good morning. 
 2018 is off to a nice start for us and certainly a newsworthy start for the industry. The competitive environment has been pretty stable. I'm pleased with our customer satisfaction and network performance metrics. I also like what we're seeing in revenue and the impact of our cost-reduction efforts, both of which contributed to our increased profitability. 
 Let's review the first quarter on Slide 5. Handset customer results are better than last year, driven by a slightly higher level of gross adds and lower churn. Revenue trends are improving, even though the change with the new revenue accounting doesn't let it all show through. Our cash expenses are down, and profitability is up. And this, too, is after a downward impact from the new accounting for revenue. 
 To set the stage, the first quarter has historically been the slowest of the year, and this quarter looks to be the same. Industry-wide switching activity continues to be extremely low levels, impacted by equipment installment plans and customers keeping their phones longer. Our average customer now holds on to their device for 29 months, and this probably will increase based on what I'm hearing across the industry. 
 Competitively, it was also a relatively quiet quarter, with some promotional activity but mostly around equipment offers rather than service plan pricing. We maintained discipline with our promotional offers, and there were not any big shifts in port-ins or port-outs during the quarter. Over the course of the year, we plan to target our promotions and programs as they strive to achieve our top strategic priorities of attracting new customers and protecting our subscriber base. 
 In the first quarter, postpaid handset gross adds were up modestly year-over-year, and postpaid handset net losses improved year-over-year by 12,000. Importantly, postpaid handset churn continues to be very low at 0.97% a month. We also reported some growth in our prepaid business by adding 6,000 new customers. 
 As reported, 2018 revenues reflect the adoption of the new accounting recognition standard while the 2017 results do not, causing differences in year-over-year comparisons. I'm going to let Steve walk you through all of that in a few moments. 
 Going into the year, we knew we need to grow revenues and continue to work on our cost structure in order to improve EBITDA, and we did both in the first quarter. In terms of driving revenue growth, we saw stabilization in revenue due to a larger customer base and contributions from other high-margin revenue streams and new products and services. And as I mentioned earlier, we continue to be disciplined in our promotions, balancing customer growth with profitability. Enterprise-wide, the organization continues to focus on cost-reduction initiatives. To set an example, this quarter, systems operations expenses were only at 4%, even as data usage increased 55%, reflecting work done across many areas by our engineering team. 
 Speaking of engineers, our network strategy is a key driver for customer satisfaction and the foundation of our value proposition in small cities, suburban and rural markets where we serve. Our network continues to perform well, even as usage increased 55% over the first quarter of last year. 
 Total Plans, which we rolled out just a year ago and included an unlimited option, continue to resonate very well with our customers. At the end of the quarter, 53% of our postpaid customer base was on these new plans and 18% on unlimited plans. We expect data usage will continue to grow and will impact capital investments to increase capacity. However, our outlook for the spend is still within our expectations but is definitely a watch point for us. 
 Operationally, we accomplished a number of initiatives in the quarter. We launched our Voice over LTE in the Wisconsin market and readied our networks in California, Oregon and Washington with VoLTE, too. Based upon on the successful market test last year, we launched 4G fixed wireless services across most of our footprints in the quarter. 
 With the announcement of the upcoming spectrum auctions for a number of bands, starting with 28- and 24-megahertz bands, we are in the process of analyzing and identifying capacity needs and potential 5G use cases so we can begin to develop auction strategies. We'll probably have more to share on this as the year goes on. 
 All in all, the combination of our revenue and cost initiative resulted in a 13% increase in earnings before taxes, depreciation and amortization, even after the impact of the new accounting rules on revenue recognition, which makes for a pretty good start to the year. 
 I want to take this opportunity to express my appreciation to all of our associates for their efforts this quarter. Their focus on our customers is what sets U.S. Cellular apart. I look forward to reporting on continued success throughout 2018. 
 And now let me turn the call over to Steve Campbell. Steve? 
Steven Campbell: Thank you, Ken, and good morning, everyone. 
 Before describing our first quarter results in detail, I want to briefly cover the highlights, which are shown on Slide 16 -- 6, rather, of the presentation. As Ken said, 2018 is off to a good start. First, we achieved a meaningful year-over-year improvement in postpaid handset results, reflecting both a modest increase in gross additions and continued low churn. We also achieved improved results in the prepaid category, with 6,000 net additions compared to a loss of 4,000 connections a year ago due to both higher gross additions and lower churn. We achieved growth in total operating revenues and a reduction in total cash expenses. As a result, both of our profitability measures, adjusted operating income before depreciation and amortization and adjusted earnings before interest, taxes and depreciation and amortization increased by 13%. Finally, as Ken mentioned earlier, we adopted the new accounting standard for revenue recognition, effective January 1, 2018. 
 Let's go ahead and review the impacts of the new revenue recognition accounting standard right now and get that out of the way. As I said, U.S. Cellular adopted the new accounting standard, which is sometimes referred to as ASC 606, effective as of January 1, 2018. We did so using a modified retrospective approach. Under this approach, the new accounting standard is applied only to the most recent period presented, and the cumulative effect of the accounting change related to prior periods is reflected as an adjustment to the beginning balance of retained earnings. As a result, our reported results for the first quarter of 2018 are determined under and include the impacts of the new accounting standard, but our 2017 results are not adjusted and remain as previously reported. 
 We included Slide 7 in this presentation to provide some insight and clarity into how the adoption of the new accounting standard impacted our first quarter 2018 results. The leftmost column of numbers, labeled Results Under Prior Standard, show U.S. Cellular's results for the first quarter presented on the previous basis of accounting. The center column shows the adjustments resulting from the adoption of ASC 606. And finally, the column to the far right shows our first quarter results as they are being reported in accordance with the new standard. 
 Adoption of the new standard primarily impacted the revenue lines with a reduction of service revenues, offset by an increase in equipment sales revenues. There are 2 primary drivers of these changes. First, a reallocation of revenues associated with subsidy model transactions from the service plan to the equipment portion of the sale. And second, no longer recognizing imputed interest income on equipment installment plans. There also were other smaller impacts on cost of equipment sold related to a change in the timing of revenue recognition on device sales to agents and on selling, general and administrative expenses related to the deferral and amortization of commission expenses. 
 In summary, as shown here, the adoption of the new standard had a small impact on our reported results. Total operating revenues were lower by $10 million or about 1%, while total cash expenses were virtually unchanged. The net impact on adjusted operating income before depreciation and amortization was a reduction of $7 million or about 3%. 
 So having covered these changes here, for the remainder of the call, I'll discuss our results for the first quarter of 2018 and 2017 as they are being reported. If you'd like more information related to our adoption of the new standard, please refer to Note 2 to the financial statements, which will be included in our Form 10-Q quarterly report to be filed later this week. 
 Now let's move on to discuss our connections activity for the quarter. Overall, we ended the quarter with approximately 5.1 million total connections, about 1% higher than a year ago. This slide focuses on the postpaid category, which remains the largest and most important part of our business at about 90% of our total retail connections. In the postpaid category, we had 129,000 gross additions for the first quarter of 2018. This included 96,000 handsets, which was a slight increase from a year ago and a very good result given the decline in switching in our footprint of almost 10%. On a net basis, we experienced a loss of handset customers similar to our 2 primary competitors. However, the net loss was reduced by 43% to 16,000, primarily driven by lower churn. We also continue to have handset customers upgrading from feature phones to higher-revenue smartphones. Including those upgrades, total smartphone connections increased by 18,000 during the first quarter of 2018. 
 Our next slide provides some additional detail on the postpaid churn rate. Postpaid churn overall for the quarter was 1.23%, better than 1.29% a year ago. Handset churn for the first quarter of 2018 was 0.97%, down nicely from last year's 1.08%. Connected devices churn remained elevated at 2.79% as the discounted tablets sold in connection with various promotions continued to roll out in contract. 
 Now let's turn to Slide 10 to look at revenues. Total operating revenues for the first quarter were $942 million, up $6 million or 1% year-over-year. Retail service revenues, shown in the blue portion of the bars, decreased by 1%, driven mainly by the impacts of the new accounting standard. There was a favorable effect associated with having more customers, which was essentially offset by lower average revenue per user. We'll go over the ARPU numbers in a minute. Equipment sales revenues, shown in the gray portion of the bars, increased $28 million or 14%. Factors in this increase included an increase in the average revenue per device sold, a mix shift to higher-end smartphone devices and higher sales of accessories, along with the impact of the new accounting standard. 
 Slide 11 provides some additional information related to postpaid revenue. The average revenue per user for the first quarter of 2018, shown as the blue portion of the bars in the graph at the left, was $44.34, down $1.08 or about 2% year-over-year. Approximately 1/2 of the dollar decrease is reflective of industry-wide price competition and the migration to equipment installment plan pricing, and the other half resulted from the adoption of the new accounting standard. Given that continuing migration to equipment installment plan pricing, average billings per user, which includes equipment installment billings, shows the total amount billed to customers every month. As you see, this more inclusive measure of revenue being realized from customers was $57.10 for the first quarter, up 2% year-over-year. Similarly, average billings per account, shown on the graph at the right, also was up about 2% year-over-year. 
 So let's move next to our profitability measures. Adjusted operating income before depreciation and amortization for the first quarter was $218 million, up 13% from a year ago. Total operating revenues of $942 million increased by $6 million or 1% year-over-year, as I mentioned earlier. Total cash expenses of $724 million decreased by $18 million or 3% year-over-year. Note that the overall decrease was driven by lower cost of equipment sold and SG&A expenses, partially offset by a modest increase in system operations expenses. 
 There are a couple of items here that are particularly noteworthy. As Ken said earlier, total data usage on our network grew by 55% year-over-year. However, system operations expense for our network went up by only 4% as our amazing engineers continue to find ways to operate the network more efficiently in order to contain the increasing cost of providing additional capacity. 
 Data roaming usage increased by 45% year-over-year, but due to the shift to 4G technology and the related rate reductions, data roaming expense actually went down by 7%. Average off-net usage per customer is still just 5% of total usage per customer. 
 Shown next is adjusted earnings before interest, taxes and depreciation and amortization. This measure incorporates the earnings from our equity method investments, along with interest and dividend income. It totaled $259 million for this year's first quarter compared to $229 million last year. Equity and earnings of unconsolidated entities includes $19 million from the Los Angeles partnership in the first quarter of 2018 compared to $16 million in the same quarter a year ago. 
 Finally, I want to cover our guidance for the full year 2018, which is shown on Slide 14. For comparison, we're also showing our 2017 actual results. The current guidance for 2018 remains unchanged from that provided in February. Although we're off to a good start for the year, our results have been tracking generally in line with our expectations, and our current full year estimates remain within the published ranges. From a liquidity perspective, I think that we're well positioned. At March 31, cash and cash equivalents totaled $509 million. In addition, we have nearly $500 million of total borrowing capacity under our revolving credit and receivable securitization facilities. 
 So now I'll turn the call over to Vicki Villacrez to discuss TDS Telecom. Vicki? 
Vicki Villacrez: Okay. Thank you, Steven, and good morning, everyone. 
 We had a strong start to the year, executing on our strategic priorities to grow our business. As we discussed on our last call, we had earmarked $60 million in capital this year to increase fiber deployments, both through our fiber overbuild strategy and by continuing to expand fiber in our ILEC markets. We continue to be pleased with our fiber trial in Sun Prairie, Wisconsin, which has encouraged us to move forward with plans to overbuild additional markets, especially where TDS has strong brand awareness. In February, we acquired a small video operator, serving more than 6,000 homes with mostly fiber near our Madison wireline cluster that complements our current Dane County, Wisconsin footprint. Additionally, we have announced plans to begin new fiber construction in several corridors within Madison and 4 communities near Madison with roughly 18,000 service addresses targeting both residential and commercial services. Lastly, including broadband state programs and additional success-based spending, we are also expanding fiber deployment within our ILEC footprint throughout 2018 and into 2019. Estimating, we'll cover an additional 50,000 service addresses. 
 In addition to the fiber expansion, we have also invested to meet our obligations under the A-CAM program. Recall, in 2017, we invested $36 million of capital to begin to build the infrastructure necessary to bring services to about 160,000 service addresses. We have builds in progress in all 25 states currently and expect to spend approximately $30 million in 2018. 
 We continue to advocate to the FCC for full funding of the A-CAM program. The FCC has announced additional support to be offered, and we are currently waiting for the specific additional amounts and related build-out obligations. While we are waiting, the FCC Chairman Pai is making his second visit to TDS tomorrow to meet with us at our Quincy, Florida property as part of our rural broadband tour the Chairman has scheduled to better understand the opportunities and progress being made with the A-CAM program. We also continue to work with the states to obtain funding for deploying broadband in areas where it is not financially viable to do so. 
 With that update, I will move to Slide 17 and discuss TDS Telecom's wireline and cable results for the first quarter. As you heard Steve mentioned, we adopted the revenue recognition standard effective January 1, but the change is mostly immaterial to us. I am pleased to report that on a combined basis, we achieved revenue growth of 1%. Cable continued to increase revenues in the double digits, and we have been able to continue to drive growth in wireline residential revenues to help offset our declining wholesale and commercial revenue. In total, cash expenses increased at a slightly higher rate than revenues at 2%. Wireline cash expenses were flat due to cost-reduction efforts. And cable expenses grew 7%, well below revenue growth of 12%. Overall, adjusted EBITDA decreased slightly by 1%. Capital expenditures in the quarter were up from last year at $40 million due to the timing of construction of the A-CAM build-outs and our fiber initiatives. We expect our capital spending to increase throughout the year to support both programs. 
 Now let's turn to our segments, beginning with wireline on Slide 18. We continue to meet the demands of our customers for higher broadband speeds and IPTV services by leveraging the fiber deployments we've made in select ILEC markets. In total, about 20% of our network route miles are fiber-built as a direct result of our fiber deployment strategy over the last several years, resulting in 24% of our service addresses served by fiber. 
 Our network investments are driving positive results, as shown on the metrics on the bottom of the slide. Wireline residential video connections, including the acquisition I referenced earlier, grew 11% compared to the prior year. And on average, our IPTV markets continue to achieve about 30% total penetration, ranging from 20% to 50% by market. About 90% of our IPTV customers are on triple-play bundles. And in addition, churn on these bundles continues to remain very low. 
 Our residential customers continue to choose higher speeds of up to 1 gig in our fiber markets, and approximately 27% of all customers are now taking 50-megabit services or greater. That's compared to 20% a year ago, helping to drive a 4% increase in average residential revenue per connection. 
 Looking at our wireline financial results on Slide 19. Residential revenues increased 1% due primarily to continued growth within the broadband product mix as well as growth from video connections. Partially offsetting this growth is a 7% decrease in ILEC residential voice connections in the quarter as we are seeing stronger cable competition in our markets. Commercial revenues decreased 6%, primarily driven by lower CLEC sales as we refocus to pursue commercial fiber opportunities, primarily in Wisconsin. Wholesale revenues decreased 4% due to continued declines in special access services as customers transition from higher-cost T1 services to IP-based services. Total wireline revenues decreased 2% to $175 million. Wireline cash expenses were flat as lower employee cost and reduced cost of providing legacy services were offset by the growth in video programming costs. SG&A expenses declined 3% from last year. We will continue to remain focused on cost reductions throughout the year, primarily as a result of the decline in commercial and wholesale revenue. Wireline adjusted EBITDA decreased 6% to $65 million. 
 If you turn to Slide 20, we continue to be very pleased with our cable segment performance. Total cable connections, which were impacted by 2 small tuck-ins, grew 8% to 319,000, driven by a 14% increase in total broadband. As a result, broadband penetration increased 200 basis points to 41% compared to the prior year. 
 On Slide 21, total cable revenues increased 12% to $55 million, driven primarily by growth in residential connections. Cash expenses, which also included acquisitions, increased 7% due primarily to higher programming content cost and IT-related expenses. As a result, cable adjusted EBITDA increased 28% to $16 million in the quarter. 
 We have provided our 2018 guidance on Slide 22, which is unchanged from the guidance we shared in February. As I mentioned earlier, our capital spending will increase throughout the year to support fiber build-outs, and we still expect to meet our $270 million guidance target. 
 I will now turn the call back over to Jane. 
Jane W. McCahon: Thank you. I wanted to provide a few brief comments about the HMS business before we go to questions. In terms of financial results, OneNeck continues to experience declining revenues, mostly on equipment sales and lower adjusted EBITDA. Bookings for monthly recurring revenue, however, were up from the fourth quarter and year-over-year. Additionally, the team is continuing to work on improving systems and processes intended to enhance the customers' experience. 
 And now Kevin, we are ready to open the call for questions. 
Operator: [Operator Instructions] Our first question today is coming from Philip Cusick from JPMorgan. 
Philip Cusick: Guys, just wanted to follow up on the wireless space. Have you thought at all yet about the auctions that are definitely coming up at the end of this year in the 24 and 28 gigahertz and then potentially next year in CBRS and maybe eventually C band? 
Kenneth Meyers: Phil, yes. We've definitely been giving it a lot of thought. We've got our engineers that have both done some tests with the millimeter wave and the CBRS wave with our vendors. We're working with some outside consultants and use cases around 5G. I mean, the -- I think we've got a pretty good handle on the performance of millimeter as well as the CBRS. The question is really getting clarity around the use cases with revenue behind before you go spend more money. 
Philip Cusick: And do you think there are -- there is a use case that justifies millimeter wave in your market? 
Kenneth Meyers: I think there might be use cases in some of our markets. It's really going to come down to a combination of size of licensed area that you're actually buying the millimeters for and how much you're going to be able to get. I mean, it's going to be a very use case-specific, I think, from the little bit I know right now. 
Philip Cusick: Okay. And then, Ken, as long as I have you, Slide 8, I like the way you sort of showed the gross activity of handsets flattish year-over-year and churn down. How should we think about churn going forward as we look at your base? 
Kenneth Meyers: So far, I'm feeling pretty good around what we're seeing with churn. I don't see anything that's dramatically changing it right now. What happens next month when somebody decides to drop their shoe differently than they in the past, who knows? But I'm feeling pretty good about it. 
Philip Cusick: No guarantees. And then last one, if I can. Connected devices, same slide. Is this just seasonality? Or is there a shift in how you look at those devices? 
Kenneth Meyers: Oh, gosh. Oh, big shift. Up until late last year, connected devices were really all about inexpensive tablets that have proven to be a nice sugar high, but really not a lot of economics behind it. You put numbers up, but not a lot of economics, hence, what you're seeing come out of here. Going forward, it's more about fixed wireless, it's more about end-to-end devices, things like that, that have got ongoing longer-life revenue behind them. But you're going to have to work your way out of the -- kind of the tablet high of the past. 
Operator: Our next question today is coming from Ric Prentiss from Raymond James. 
Ric Prentiss: I'll follow up on Phil's question. Slide 8. When we look at that handset gross adds of 96,000 in the first quarter, Ken, you mentioned first quarter is seasonally light. Can you update us as far as maybe what you've seen in April? But also on the year-over-year then in first quarter '17, wasn't that when Verizon introduced their unlimited plan, and maybe there was some compression last year because of the competitive environment? 
Kenneth Meyers: So overall, we are actually a little bit ahead of where we thought we would be right now this year, so I'm very comfortable with where we're at. First quarter, yes, it's typically light, light for us. Yes, we had -- about a year ago, everything from the launch of the unlimited a year ago in the industry that we only activated at the very, very end of the quarter, what really happened is a matter of kind of volume in the market. If everybody else has got big, big promotions and a lot of noise, we don't burn through as much, okay? We've seen that in the last couple of years in different quarters when we've done very well, and we're going to continue to target our promotions in periods that we think we can be most effective. 
Ric Prentiss: How about in April? You mentioned how you were hoping that the rest will recover like it did in '17. Have you seen that [happened] in April? 
Kenneth Meyers: I'm going to stay with our practice, as we talked about, the results as we get them and in their quarters and not talk about individual months. But as I said, we were ahead of where I thought we would be as we close the quarter, and I'm comfortable with kind of our whole guidance for the year. 
Ric Prentiss: Your job not to answer. My job to ask. 
Kenneth Meyers: I understand, and that's why it's called ping-pong. It goes back and forth. 
Ric Prentiss: Another question on VoLTE. You mentioned how you're -- you've been ramping that up. Any update as far as where you're at as far as then being able to get roaming business from the 2 major carriers you have in the past, AT&T and T-Mobile? 
Kenneth Meyers: Actually, yes, we're doing well connecting those networks. Every month, we see more markets come on, and so we've seen some roaming get turned on for one of those partners. Just in the last couple of weeks, it wasn't even there a month ago. So the rollout on the roaming side continues to build as expected. 
Ric Prentiss: And I assume that's built into your '18 guidance, and it would grow throughout? 
Kenneth Meyers: Absolutely, sir. 
Ric Prentiss: Right. And the last question for you, related though, is have you seen any progress from AT&T with their FirstNet project in your territory or maybe T-Mobile with their 600-megahert buildout? 
Kenneth Meyers: We haven't seen anything yet, and I'm a paranoid kind of guy. I'm going to keep -- we're keeping an eye on it. We haven't seen it either on the FirstNet side in terms of self-leasing activity or anything else. So we're working with people. As I look at it, it's taken us many years of ongoing investment to build the quality network that we have across our footprint. And that is part of our reputation in our markets and something that isn't going to be replicated overnight. 
Operator: Our next question today is coming from Sergey from the Gabelli & Company. 
Sergey Dluzhevskiy: Couple of questions, if I could. So obviously, we saw T-Mobile-Sprint merger announcement over the weekend. So if you could share your reaction to this transaction and what impact it may potentially have on U.S. Cellular, if it gets approved. And what the impact would be on competitive environment in your markets potentially, given obviously the fact that they could be building a high-capacity network? What will it mean for you, for your customer base and for your markets? 
Kenneth Meyers: Well, Sergey, let me start with congratulations. I heard you're going to spend more time on the other side of the Wall these days going forward. Well, congrats. Gosh, I don't know the -- about the most honest answer I can give you. Tell me if it's going to get approved. Tell me when it's getting approved, and tell me what their strategy will be when they get there. From what I see today, I see that, historically, when big announcements like this are made, everybody in those organizations are worried about their job, okay? We're going to worry about our customers. We're going to worry about how do we keep serving them. And oh by the way, maybe serving some of their customers who don't like the reaction they're getting from people that are worried about their own jobs. Two, if I read -- if I believe everything I read, okay, huge synergies. Big dollars that justify it. That's going to come out of the big markets. In fact, going to come out of what they do in Ames, Iowa and [indiscernible]. Three, a lot of value is being ascribed to what they can do with the 2.5-megahertz licenses. Well, those are higher in the bandwidth in the PCS licenses, and no one made a business -- a successful business out of trying to serve the areas we serve with PCS licenses, let alone 2.5. So I'd say we got a long, long way to go, multiple years before we see what this looks like. But in the meantime, we've got one job, and that's to continue to focus on taking care of people in our markets and doing that every day. 
Sergey Dluzhevskiy: Great. And a related question also, kind of bigger picture M&A-type of question. So I mean, T-Mobile-Sprint is obviously one transaction now there. We also have AT&T-Time Warner. We have cable companies coming to the wireless space. T-Mobile, potentially building out 600 megahertz with or without a merger. So -- and so you referenced that the competitive environment is relatively stable. Potentially, it would get more intense again. So in this environment, why wouldn't it make sense for yourself to become part of a larger carrier, potentially, to compete with those national providers with converged offerings? And if not, how do you guys think you can maximize shareholder value as a regional provider? 
Kenneth Meyers: So let me start with my ongoing answer, Sergey. Questions about long-term ownership of U.S. Cellular are a question for TDS. We're going to focus on running our business. To date, as I will cut through all of your different ramifications in your question, I'd say the biggest thread to it deals with kind of perhaps content coming out of some of these mergers in the future. Content is the one area that we continue to watch closely. To date, the different content plays that have been out there have had 0 impact on our business. Customers are able to get access to the content they want, when and where they want it and be able to get it quickly and easily on our network. So it's a potential watch point. It's one we keep our eye on, but it is one that has not manifested itself whatsoever in our markets today. 
Sergey Dluzhevskiy: Great. And last question on the wireless side. Ken, if you could talk also a bit about your tower portfolio and your efforts to increase tower rental revenues or potential third-party tenancy rates. Obviously, we understand that this is core to your strategy. But what about potentially enhancing that business with third-party revenues? 
Kenneth Meyers: Yes. Thanks for that question, Sergey. Now that's an area we completely agree there is big value there, there is something that -- we are constantly evaluating different opportunities of what we can do with that portfolio, subject to it not interfering with our network strategy. Those start with a -- they start in kind of their life as a foundational part of our network strategy. It allows us to control the quality of our experience. We control that real estate and we get to go up and down wherever we need to go on those cell sites. And so for the 4,000 cell sites that we own out of the total 6,000, there had been revenue opportunities. We continue to capitalize on them, but we do that subject to the critical role that they play in us managing our network. And getting a little bit more revenue is nice, but not if it stops us from delivering on our customer experience and the $3 billion of service revenues that they support. So something we watch very closely. We continue to work it. 
Sergey Dluzhevskiy: And a couple of questions for Vicki on the wireline front. If you could talk a little bit about your strategy for fiber build-outs out of the ILEC footprints, how you select those markets and what their sounds -- the early results that kind of help you as you develop your strategy. 
Vicki Villacrez: Sure. I'd be happy to, Sergey. Starting with our fiber strategy, first off, it is about growing the business, and it is about growing broadband, broadband and providing a superior product and service to markets where they have attractive demographics and are willing to buy the superior products. So let's start first with our Sun Prairie trial. We continue to be very pleased with the success we saw in Sun Prairie, and we are in the first 6 months of rolling out that market. We are exceeding 50% market share, and that is being driven by pent-up demand for superior broadband products and IPTV services. And so we have decided, as I had announced, to earmark fiber expansion for 2018. And we are focused on markets that have similar growth characteristics, attractive growth -- household growth in the markets, exceeding the national average and have attractive demographics and the density that helps make the fiber numbers work. 
Sergey Dluzhevskiy: Great. And last question on the cable side. What are your current thoughts on the M&A pipeline in cable [indiscernible] and evaluations? Obviously, cable has deteriorated somewhat in the public markets. What are you seeing on the private side? And what are your thoughts on cable acquisitions going forward? 
Vicki Villacrez: Well, as you know, our objective is still to grow our business, and one way to do that is through cable acquisitions in addition to the fiber expansion that we're focused on this year. Both are broadband focus. Having said that, the acquisition pipeline, to be fair, has been very skinny. You certainly can see that by the low number of transactions announced in this space at this point in time, but we continue to remain open to deals of various sizes, both small and large, as they make sense for our business. So having talked about our fiber investments, that does not preclude us from pursuing the cable opportunity, which should arise. 
Operator: [Operator Instructions] Our next question is coming from Simon Flannery from Morgan Stanley. 
Simon Flannery: Great. Ken, just coming back to the Sprint-T-Mobile deal. I think one aspect of that deal was a roaming agreement that T-Mobile has granted to Sprint. I was just wondering if you had any perspective on what that might mean for you and to a degree to which they're roaming. Obviously, T-Mobile doesn't have CDMA ramping. But it's, as they said, about 20 million phones were capable of using the T-Mo network. So any color on that exposure and thoughts around that would be helpful. And then any updates -- it looks like the equity affiliates are doing well. Any updates on the LA Partnership or the performance and dividend flows out of those operations? 
Kenneth Meyers: Okay. On the roaming side, I don't think it's got much of an impact on us whatsoever. We actually have 4G roaming agreements with both of those carriers and cover areas that -- there aren't a lot of the areas that T-Mobile covers that is using our network on. So it's not like there's a big market or 2 or 5 or 10 that suddenly shift. Rather, I see it as a way for us to continue to grow our overall revenue. We actually have mentioned in the past, we've actually put in technology that allows us to move voice one way and data another way. And what that has allowed us to do is not just use CDMA carriers when our customers roam and allows us to handle the data from other carriers. And as we continue to turn on VoLTE, we're getting non-CDMA carriers voice traffic as well as just organic traffic. So I'm still very encouraged of what I see on the roaming front. Regarding the equity partnerships and kind of our cash flows out of there, let me turn it over to Steve. 
Steven Campbell: Let me take that one. On -- most of the increase that you're seeing is related to the Los Angeles Partnership. And in looking at those financials, we see a couple of things. We have a considerable amount of revenue growth this year in L.A. That's primarily in the equipment area, just like you see in our numbers. And a sizable chunk of that is related, from what we can tell, to their adoption of the new accounting standard as well as the shifts that we talked about between service and equipment revenue in our own numbers. On the expense side, they've had some improvement there as well with a very sizable impact related to the adoption of the new standard, where commission expense previously would be in the current period is now being deferred and amortized. And they've also, as we have said, a modest increase in bad debt expense and in some of the other G&A categories. 
Kenneth Meyers: Our cash flow looks like it's -- one in -- our expectations, our dividends are going to flow much like they had last year. 
Simon Flannery: Okay. Great. And just one last thing. You said, Ken, around the handset life, I think you said you are 29 months. You expect that to extend. Where do you think -- ultimately, phones break, the batteries die. Where do you think steady state it's likely to settle out for you and the industry? 
Kenneth Meyers: Gosh, Simon, I'm not sure. What I know is that we were a little bit later putting in the 30-month life, so we're just starting to get to our first customer cohort kind of crossing that 30-month life of our EIP contracts. And so the fact that we're 29-month doesn't reflect, I think, the full impact, but rather, just kind of the aging of that base. From what I'm hearing from our vendor partners and others, the whole industry could be up closer to 30%, 33%, 34%, 35%. 
Steven Campbell: Months. 
Kenneth Meyers: And I'm still bullish on growth. 
Steven Campbell: Months. 
Kenneth Meyers: Months, right. Not percent, months. 
Operator: We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments. 
Jane W. McCahon: We thank you for your time this morning, and please let us know if you have any additional questions. Thank you. 
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.